Operator: Good day, ladies and gentlemen and welcome to the eBay’s Second Quarter 2014 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Tom Hudson, Vice President of Investor Relations. Please go ahead.
Tom Hudson - Vice President, Investor Relations: Good afternoon. Thank you for joining us and welcome to eBay’s earnings release conference call for the second quarter 2014. Joining me today on the call are John Donahoe, our President and Chief Executive Officer; and Bob Swan, our Chief Financial Officer. We are providing a slide presentation to accompany Bob’s commentary during the call. All growth rates mentioned in John and Bob’s prepared remarks represent year-over-year comparisons unless they clarify otherwise. And all segment’s results are adjusted for the effects of foreign currency exchange. This conference call is also being broadcast on the Internet and both the presentation and call are available through the Investor Relations section of the eBay website at investor.ebayinc.com. You can visit our Investor Relations website for the latest company news and updates. In addition, an archive of the webcast will be accessible for 90 days through the same link. Before we begin, I’d like to remind you that during the course of the conference call, we will discuss some non-GAAP measures in talking about our company’s performance. You can find the reconciliation of those measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. In addition, management will make forward-looking statements relating to our future performance that are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include, but are not limited to, statements regarding expected financial results for the third quarter and full year 2014, the future growth in Payments, Marketplaces and eBay Enterprise businesses; the company’s plans regarding its share repurchase programs; and the impact of the cyberattack on the company’s results of operations. Our actual results may differ materially from those discussed in the call for a variety of reasons. You can find more information about the risks, uncertainties and other factors that could affect our operating results in our most recent Annual Report on our Form 10-K and our subsequent quarterly reports on our Form 10-Q available at the investor.ebayinc.com. You should not rely on any forward-looking statements. All information in this presentation is as of today’s date July 16, 2014 and we do not intend and undertake no duty to update this information. With that, let me turn it over to John.
John Donahoe - President and Chief Executive Officer: Thanks, Tom and good afternoon everyone and welcome to our Q2 earnings call. We enabled $62 billion of commerce volume in the second quarter, up 26%. Mobile and cross-border trade continued to be major contributors to enabled commerce volume. Mobile attracted 6.6 million new buyers in Q2 and cross-border trade was up 26%. Overall, revenue was up 13% in Q2 and non-GAAP EPS was up 9%, and eBay and PayPal both generated double-digit customer growth, with PayPal surpassing more than 150 million active registered accounts. Our company faced two extraordinary events in the first half, the proxy fight in Q1 and the reset of eBay user passwords in Q2. In the phase of these challenges, we have remained focused on execution and we have maintained our strong commitment to creating sustainable value for all shareholders. As I said before, the proxy fight in Q1 gave us the chance to engage with our largest shareholders and hear what’s most important to them. They told us three things. First, they see significant value creation in our plans and want us to execute. Second, they want us to aggressively pursue our announced $5 billion share buyback. And third, they believe that synergies make eBay and PayPal better together for now, but they want us to continue to be open-minded to alternatives. We agree with all three points. We are blessed with two great businesses and will continue to aggressively drive growth for PayPal and eBay investing to enable each business to fully capitalize on the respective growth opportunities and will continue to capitalize on our synergies. In addition, we and our Board will remain objective and open-minded in assessing alternatives, which we continue to do. We will make decisions that maximize long-term shareholder value and we will do what’s best for PayPal and eBay to enhance their growth and competitive positions. Now with that, let me give you a little detail about the second quarter. PayPal had a great quarter. Merchant Services TPV grew 33% in Q2, accelerating for this fifth consecutive quarter. Revenue was up 20% on an FX neutral basis. And in spite of David Marcus’ unexpected departure in the quarter, the team did not miss a beat. They stayed focused, are executing well and PayPal’s momentum is accelerating. Increased consumer adoption and expanded merchant coverage help drive strong results. Braintree had a strong quarter gaining new merchants and accelerating growth. And Braintree just launched a new set of software tools that allow developers to integrate both Braintree and PayPal in a single integration into apps in less than 10 minutes. At eBay Marketplaces, global GMV grew 8% and revenue was up 6%. Top-rated Sellers in the U.S., UK and Germany grew their same-store sales 14% and our global fixed price volume was up 19%. Now, the cyberattack clearly impacted eBay’s performance in Q2. And Bob will speak to this in more detail in his remarks, but I want to provide a little context. For the first half of the quarter, eBay was performing in line with our expectations. Then in early May, we discovered unauthorized access to our corporate network. We subsequently found that an eBay database had been compromised. This database contained non-financial information on eBay users, including encrypted passwords. Now, I will reiterate that no financial information was compromised in this incident and we have no evidence that the compromised encrypted passwords were breached in anyway. But our focus was to do what’s right for our customers and to ensure a safe and trusted marketplace. So, realizing the potential short-term impact to our business, we made the right decision to ask all eBay users to reset their passwords. Our focus is now on recovery. Buyers representing approximately 80%, 85% of affected volume, have reset their passwords, but some of these buyers have not yet returned to their previous activity levels. So, we are stepping up targeted marketing efforts in the second half to full reengage these and other users who have not yet reset their password. I am proud of the way the eBay team, which is dealing with these challenges, is working to get the business back on track. At eBay Enterprise, gross merchandise sales were up 15% and revenue was up 3%. We are thrilled to have Craig Hayman join the company from IBM as the new Head of eBay Enterprise. Craig brings the perfect blend of experience to lead this business going forward. Before closing, let me take a moment to highlight our continued progress in the four competitive battlegrounds: mobile, local, global, and data. In mobile, our total mobile volume grew 68% in Q2 and we have hit 260 million downloads of our apps. Mobile continues to dramatically influence consumer behavior. For instance, 59% of eBay buyers shopped across multiple screens in Q2 and PayPal mobile continues to accelerate its momentum, with PayPal’s mobile volume off of eBay now surpassing its mobile volume on eBay. We intend to continue to be a leader in the mobile commerce and mobile payment space. In local, eBay announced plans with Argos in the UK to expand Click & Collect to approximately 650 stores. The expansion puts this convenient shopping experience within 10 miles of most of the UK population. By year end, we expect 65,000 eBay sellers to offer items that can be purchased online and picked up at an Argos store. On the global front, cross-border trade continues to be a competitive strength. PayPal is accelerating this volume. In fact 79% of international shoppers identified PayPal as their preferred payment method when making cross-border purchases. To enhance the consumer experience PayPal is testing free returns on cross-border purchases in four European markets. And PayPal’s passport program was launched in Q2 to help merchants grow their cross-border businesses. And last but not least, data. We continue to leverage the power of our closed loop transaction data to help merchants grow and deliver better experiences for our customers. For example PayPal is now leveraging eBay Inc. wide data to extend credits to small merchants to help them grow. This program is now loaning $1 million a day to our small business merchants giving them access to much needed capital. In summary, we faced unexpected challenges in the first half, but our teams remain focused on execution and doing what’s best for our customers and strong execution will continue to be our focus in the second half. Meanwhile, we will continue to invest for the long-term strengthening our core commerce platforms and positioning our company to win in the key competitive battlegrounds and we will stay focused on delivering sustainable shareholder value. Now I will turn it over to Bob who will provide more details on the quarter and then we will take your questions.
Bob Swan - Chief Financial Officer: Thanks John. During my discussion I will reference our earnings slide presentation that accompanies the webcast. As a strategic partner of choice for merchants of all sizes the role we play in global commerce continues to grow. eBay’s commerce ecosystem continued to gain share and enabled $62 billion of volume, up 26% at a take rate of 7.1% for the quarter. Our take rate declined 80 bps driven primarily by business mix as our fastest growing business PayPal has a lower take rate. Mobile ECV increased 68% to $12.3 billion representing 20% of volume. And cross-border trade grew 26% representing 13.4% - $13.4 billion or 22% of volume. Revenue increased 13% and non-GAAP EPS was $0.69, up 9%. We generated $1.2 billion of free cash flow and we executed $1.7 billion of our stock buyback program and had $2.2 billion left in our authorization for further repurchases. In Q2 we generated net revenues of $4.4 billion, up 13%. Organic revenue growth was 10% in the quarter. Currency contributed a little more than 1.5 points of growth while the Braintree acquisition added about 0.5 point. Second quarter non-GAAP EPS was $0.69, up 9% which was driven by solid top line growth, good productivity, the stock buyback and the weaker dollar which were partially offset by a lower take rate. Non-GAAP operating margin was 24.4%, down 190 basis points. The decline in operating margin was driven by expenses related to the cyberattack and increased investment to increase the vibrancy of the site, partially offset by an expanding PayPal transaction margin and good operating expense leverage across the company. Operating expenses were 45% of revenue, up 110 basis points due predominantly to increased investment in marketing. We generated free cash flow of $1.2 billion in the quarter. CapEx was 6% of revenue, lower than full year expectations due to investment timing. We continued to expect full year CapEx to be 7% to 9% of revenue. We ended the quarter with cash, cash equivalents and non-equity investments of $12.4 billion including approximately $2.6 billion in the U.S. We improved our financial flexibility funding 70% of the PayPal credit principal loan portfolio with offshore cash. In the quarter, we opportunistically repurchased 32.4 million shares of our common stock for approximately $1.7 billion. And we utilized $1.2 billion of commercial paper to fund the buyback. Now, let’s take a closer look at our segment results. PayPal had a great quarter. Revenue reached $1.9 billion, up 20% on an FX neutral basis. Revenue growth was mainly driven by accelerating Merchant Services growth, which included strong growth from PayPal credit. A few quick highlights on PayPal operating metrics. Total active accounts growth was 15%. TPV on an FX neutral basis grew 26%, driven primarily by continued expansion of PayPal on merchant sites around the world and a 260 basis point increase in PayPal penetration on eBay. Merchant Services FX neutral TPV accelerated 1 point to 33% in the quarter. Transaction margin increased 70 bps, resulting from an increase in our annual GE share gain, lower transaction expense and loss rates partially offset by a lower take rate from large merchant mix, losses on our foreign currency hedges and lower cross currency transaction growth. PayPal segment margin came in at 24.5% for the quarter, up 150 basis points. The increase was due primarily to a 70 bps increase in transaction margin and good operating leverage while we continue to invest in the business. Let me touch on a few quick highlights for our credit business. Credit is still in its early stage of growth. It allows PayPal and eBay merchants to increase their volume growth by providing financing choice to consumers. In addition, it improves the company’s ability to manage its transaction expense. Bill Me Later TPV growth accelerated 5 points in the quarter driven by increased usage of eBay Inc. data for credit approvals as well as adding Bill Me Later on PayPal’s recurring subscription products. BML as a funding source represented a 4.9% share of U.S. addressable GMV and 2.5% share of Merchant Services U.S. TPV. Additionally, PayPal signed an agreement with GE Capital to extend our relationship, where we offer a dual-branded retail credit card. We also committed to purchase the associated loan portfolio in 2016 for an estimate of $1 billion based on the size of the portfolio at that time. This increases PayPal’s flexibility to expand its credit offerings to consumers and merchants, while improving its ability to manage transaction expense and reinvest back into the business to accelerate payment volume. Now, let’s turn to the Marketplaces business. Marketplaces delivered $2.2 billion in revenue, which grew 6%, GMV grew 8%, and operating margin declined 340 basis points. It was a challenging quarter. As John indicated, we got off to a good start, but we had significant obstacles late May. The combination of the cyberattack and the Google SEO had an immediate and dramatic impact on GMV growth. June GMV growth was 7% driven by slower active buyer growth and lower conversion. In light of these events, we have made significant investments to get eBay users reengaged, including couponing, seller incentives and increased marketing spend. We have begun to see some recovery in the first part of July and we are confident we will get these challenges behind us, but it will take a bit longer and we will invest more as we work to get back to double-digit growth. Now, let’s turn to eBay Enterprise. eBay Enterprise generated $940 million in gross merchandise sales for its clients. GMS grew 15% driven by the addition of new logos and same-store sales growth of 14%. Revenue was $267 million, up 3% driven by increased volume growth. Marketing services revenue growth continues to be impacted by replatforming and branding efforts to consolidate nine companies into one. Segment margin came in at 1.1%, flat year-over-year. Now, let me turn to guidance. We have had a challenging start to the year. As we entered the second half, our PayPal business has good momentum, our eBay Enterprise business has stabilized, but our Marketplaces business has to dig out of a hole. While we are confident we will work through the global password reset and the SEO changes it will take longer and cost more. As a result we are lowering our high end full year revenue guidance by $200 million from $18.5 billion to $18.3 billion. We are now at $18 billion to $18.3 billion representing growth of 12% to 14%. We are maintaining our full year non-GAAP EPS guidance of $2.95 to $3 per share, representing growth of 9% to 11%. We expect that PayPal’s strong operating leverage and a lower share count will offset the impact of the slower revenue growth. For the third quarter of 2014 we expect revenue of $4.3 billion to $4.4 billion representing growth of 10% to 13%. And we anticipate non-GAAP EPS of $0.65 to $$0.67, representing growth of 2% to 5%. In summary, we had a challenging first half of the year with several distractions. However, through the first six months of the year we enabled $120 billion of volume, 13% revenue growth and we met our EPS commitments and we delivered $2.2 billion of free cash flow and bought back $3.5 billion of stock. This is a testament to the power of the portfolio and the resiliency of our team. And now we would be happy to answer your questions. Operator?
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Douglas Anmuth with JPMorgan. Your line is open.
Douglas Anmuth - JPMorgan: Great. Thanks for taking the question. I just wanted to ask about Marketplaces and I understand that you are talking about how take longer and cost more a dig out I know that’s sort of mission number one right now, but what are you most excited about in the Marketplaces business in terms of the initiatives and if we think about some of the things we have heard about recently in terms of data and personalized feed and search and driving more merchant selection what do you think are kind of the hooks that can get you back up into the overall ecommerce growth rates on an overall basis. And I guess as part of that are there initiatives that can offset the decline that you are seeing in the options business because obviously fixed price is certainly above perhaps industry growth rates? Thanks.
John Donahoe: Yes. Doug I think I would just go to the competitive battlegrounds where this was really driving a lot of our investment in the Marketplaces business. So mobile continues to be an important area of focus. We are continuing to update and iterate on our smartphone mobile apps, our tablet mobile apps. What’s interesting is as I mentioned almost 60% of consumers are now using multiple screens and shopping experiences. So we are bringing the mobile experiences together so that you can have a core and seamless experience. Global we are continuing to expand globally. Our cross-border business continues to be quite strong. We launched Portuguese and Spanish languages to our global buying hub during the second quarter, which now allows sellers in those markets to lift in buyers in markets with those languages to buy. And we believe that will fuel greater cross-border trade which is already seeing some good signs on that. Our data as you mentioned is the key area of focus and there are three of four areas we are leveraging our data more effectively than we ever have been. One is on our personalization as you mentioned the feed, the ability to offer personalized offers and a personalized set of recommendations as well as the engagement features you are seeing at the top of the funnel, so whether that’s collections or curation or other things that engage consumers based on our collective data as well as individual data. And then we never take our eyes off the fundamentals in the Marketplace business because improvements in search still really move the needle, improvements in trust still move the needle. Our selection has never been higher. We have now got 80 retailers on eBay and we are adding additional brands and designers and others to bring the best and widest selection. So, yes, we got a couple of body blows in Q2 with they are having to reset the passwords and the SEO change, but we are continuing to invest in this business and we think it’s going to be us one of the winners in e-commerce and we will have strong double-digit growth. That’s our goal. We are focused on it. We still believe that’s achievable.
Douglas Anmuth - JPMorgan: And just as a follow-up there…
Bob Swan: Yes, so, just the, Doug, the fixed price growth that you highlighted, John talked about strong double-digit growth. Again, we saw continued strong growth in fixed price and our challenge as you know is always to give consumers choice on what is most relevant for them for the particular occasion. And what we continue to see is the mainstream consumer shopping online looks for convenience as a key variable. We need to give them that opportunity. At the same time, we continue things like the feed and broad-based selection in the alternative format of auction continues to be an important format, but consumers keep choosing fixed price as the key shopping format for them.
Douglas Anmuth - JPMorgan: And anymore color that you can share just on the international detail in particular, is there disparity between the way the international markets have come back in June around just the cyberattack and the SEO changes?
Bob Swan: Yes. There is – so couple of things very consistent and then slight deviation by geography. The consistency was quick, swift and immediate impact when we know – when we were not letting people in the door until they reset their password and/or we weren’t getting the new buyer traffic from SEO. That impacted us immediately in the latter part of May. And then we gradually started to kind of stabilize and grow lot of it in June and then as I indicated continued into July. Those common – those common threads were kind of around the globe with two exceptions. One, our Asia business was not impacted as much obviously, Korea is on a different platform. So, they were not affected as much. And I think – and I think in Europe, while we are immediately impacted and things have gotten better, the recovery has been a little bit slower than it has been here in the U.S. Those are two kind of geographic differences I would highlight, Doug.
Douglas Anmuth - JPMorgan: Okay, great. Thanks guys.
Operator: Our next question comes from the line of Heath Terry with Goldman Sachs. Your line is open.
Heath Terry - Goldman Sachs: Great, thanks. John, with regard to the widening gap and enabled e-commerce growth, which despite all the issues you talked about actually stayed pretty steady this quarter and revenue growth. Would you rank order the contributors to that gap and provide some clarity on which ones you feel like are one-off like the step up changes versus ongoing like the mix shift that we have been between payments? And then Bob as you could, could you give us just any sense as to whether or not there is a change in the way that you are thinking about the cash that you took the non-tax or non-cash tax charge on in 1Q and just sort of your cash balance debt ratios in general?
John Donahoe: Sure. As you said our growth, the growth our platforms are enabling, I don’t think has ever been stronger. So, the core essence of capitalizing on this convergence of online and offline or convergence I should say of online mobile and offline, I don’t think has ever been stronger. And you see that in the 26% growth. The biggest contributors to obviously that the blended take rate across the portfolio was coming down and PayPal, you just sort of picked that apart, PayPal, which is our lowest take rate business is growing the fastest. And then within PayPal, large merchants which have the lowest take rate are growing the fastest. Braintree is actually growing event faster, but then that’s probably the lowest take rate that’s growing even faster. And so the net effect inside of PayPal is what I would characterize it as a declining healthy take rate, a take rate that’s reflective of strong growth in the segments that we want. And then in the Marketplace businesses, we have got a couple effects here going on, this impacting monetization, one you referenced StubHub, where to be clear, we have a leadership position, someone – couple of competitors have lowered price a little bit and so we are going to fight and compete to maintain our leadership position. We have done that in Q1 and we see the value of that in Q2 of holding or gaining share that hurts our revenue in the short-term, that hurts our margin in the short-term, but we believe it protects the long-term franchise of what’s a great business. Advertising, one of the implications of this mix shift to more mobile is we have made a decision on mobile to have no or very low ads to-date. We think that’s been essential to our frictionless mobile experience that’s helped to drive our mobile volumes, but has lower overall monetization. We will begin to – on mobile now you – there is some I think tasteful ways to begin to add some ads into a mobile experience, it doesn’t detract and we will be experimenting with those in Q3 and Q4. And those are the major I feel those are the major efforts, so or the things impacting take rates so revenue growth versus volume.
Bob Swan: I think in terms of John hit the priorities Heath, 26% growth enabled commerce volume driven by 33% growth in merchant services TPV. So our success on merchant services growth is the biggest contributor to – an overall lower take rate. And then secondly John as you said that our success in larger retailers and brands within merchant service business led to a lower take rate, so those two are the fundamental biggest drivers. On your second question just non-cash charge how we are thinking about, how we are thinking about cash, we made a – we took a non-cash charge in the first quarter as you know because in light of series of events and circumstances in the quarter, we no longer felt like we could support our historical election that our offshore earnings would be permanently reinvested. So in light of that and the series of events in the quarter we took a non-cash charge. So we have more flexibility to use that offshore cash domestically if we – when we need it. However, two things to be clear, what we said at the time is this is not an indication that we are contemplating a large U.S. acquisition that was true then and that’s true – it’s true now. But we are continuing to execute on our $5 billion share purchase program. We did another $1.7 billion in the second quarter. We have now bought back $3.5 billion of stock in the first half of the year. We have used our U.S. cash and commercial paper – our access to commercial paper in the second quarter to finance that $3.5 billion. So where we sit today, we obviously will continue to be an acquisitive company here domestically, but we are not anticipating anything of the size and we will continue to opportunistically buyback stock and complete our remaining authorization. But the good news is right now we still have $2.6 billion of U.S. cash and significant access to commercial paper markets and we have significant debt capacity left. So as we evaluate decisions in front of us we always look at the most efficient and effective use of cash available to us and we have lots of levers, lots of the availability.
Heath Terry - Goldman Sachs: Great. Thanks Bob. Thanks John.
Operator: Our next question comes from the line of Colin Sebastian with Robert W. Baird & Company. Your line is open.
Colin Sebastian - Robert W. Baird & Company: Thanks. I have a couple of question. I guess first is a follow-up on the May issues, I wonder if the implied Q4 guidance assumes the recovery back to normalized Marketplace volumes and margins. And then secondly from a bigger picture perspective just want to ask about the in-store initiatives for both Marketplaces and Payments which obviously was a fairly important issue in the past and may still be, but I am wondering if some of your investments here particularly on the payments side are moving to the back burner as you see some better traction and cross-border trade and other areas? Thanks.
Bob Swan: John maybe I will handle the first one and you can handle the second. Colin the short answer is yes in our implied guidance there is an acceleration from Q3 to Q4. Stepping back from that in effect what it suggests though is first half growth rate roughly equal to a second half growth rate, but you have a bit of a Divit in the second quarter as we talked about than we anticipate as we invest further recovery, there will also be a bit of a Divit in the third quarter. And as we exited third quarter into fourth quarter, the acceleration is really going to be driven by few things. One, continued and increased seasonality of our business, as PayPal Merchant Services grow as is a company we get more exposure to larger retailers and brands. There is a increased seasonality component of our business that will benefit from Q3 to Q4. Second, as John indicated, Braintree, we expect to continue to grow into the second half of the year and how we have monetized Braintree will continue to expand going into the second half of the year, including from Q3 to Q4. Third, we expect continued PayPal momentum in the second half of the year. And then fourth, we are looking at modest acceleration of marketplace from Q3 to Q4. But at this stage, we are really focused on addressing the short-term issues in front of us and our guidance implies it will be a marginal acceleration from marketplace, but not dramatic Q3 to Q4.
John Donahoe: And then Colin on your second question around in-store, you hit the nail on the head in the following sense that the way we look at this is we have got online or e-commerce, where we are the leader and that’s a roughly $1 trillion market. And we used to think of offline as everything else and now we break that down into two categories. Mobile-enabled commerce, which is roughly half of what used – we used to call offline kind of that’s roughly $4 trillion, takes us from a $1 trillion to $5 trillion and then the stuff going on in the physical stores. And as we learned along the last couple of years, what’s very clear to us is that consumers are using their mobile devices more than ever before and that’s become our top priority, the mobile-enabled commerce. And that has real traction. And you see us shifting our investment toward that by something like the acquisition of Braintree or which PayPal in-store experiences were prioritizing, they are ones that tend to be on the mobile-enabled experiences like order ahead or order from table. And by buying Braintree, we are now – we are central to the major apps in the sharing economy like your B&B. And then the last piece that this stuff is actually happening at the point of sale in the physical stores and change is frankly just happening more slowly there. Ultimately, it will, but we are using more of a test and learn approach there, where we are working with a couple of retailers to try to get their in-store experience in a form or format that consumers can relate to and the retailers and their employees and the whole experience can come together. And so, an example let’s say in the marketplace where we are seeing a lot of traction in the UK around Click & Collect or buy online pickup in store, so see us doubling down on that as were the same day delivery like eBay now, we see good consumer demand for that, but it’s not – it doesn’t have quite the same electric traction that Click & Collect does. So, we are continuing to move in the general space. We think there is a lot of opportunity, but we just shift our investment toward the things that have traction and we are keeping a more test and learn steady pace on the ones that don’t.
Bob Swan: And the only other thing I would add to that is what we see and where testing and learning is important to us is more when it’s technology-enabled data information is a key variable and where we can use other people’s assets, whether it’s excess capacity in somebody else’s carrier network and/or excess capacity in somebody else’s warehouse source or small store. For us, these test and learn on the edge is around technology and data and leveraging other people’s assets in capacity. That’s where we think that we are going to test and learn more and have a real differentiated proposition.
Colin Sebastian - Robert W. Baird & Company: Okay, thanks very much guys.
Bob Swan: Thank you.
Operator: Our next question comes from the line of Mark May with Citi. Your line is open.
Mark May - Citi: Thank you. Some further questions on Marketplace if I could, it seems like the deceleration in Marketplace revenues was more notable in the international segment versus the domestic segment, did the password security and Google issues have a greater impact outside the U.S. And then secondly what I think you said 7% GMV growth in June what kind of GMV growth assumptions are you making in your Q3 guidance and then your calendar ’14 I guess implied Q4 guide. And then one quick last one, given the early results of the PayPal brand marketing campaign which I believe began in the April-May timeframe, should we assume that you will be accelerating or decelerating the pace of spend there in the second half of the year?
Bob Swan: Mark, okay let me try. I think first from a volume perspective on GMV in the Marketplace, again immediate impact around the globe with the exception of Asia, in particular Korea a – begin a recovery in June, a bit of a stability and some momentum coming into the month of July, as I indicated those were fairly consistent. The recovery in Europe is a little bit slower than in the U.S. and therefore kind of Q-on-Q growth rates for volume were down.
John Donahoe: Can I just add on that before get to the second Bob and part of what drove that market is media in the UK – the media in Europe is definitely more privacy sensitive. And the EU there was all sorts of talk from legislators and regulators. And so the whole thing got a lot more media particularly in Germany to the UK to lesser extent. And so I think that got the recovery going more slowly, I think there is no doubt that. But now I think the trend is good, but it’s definitely running behind and partly driven by just the environment of Europe around these cyberattacks.
Mark May - Citi: That makes sense. I mean we are surprised in the…
Bob Swan: That’s a bit on the volumes, so I think on revenue or transaction revenue just a bit differently in terms of volume to revenue international versus the U.S. And what’s different there is we had a great business here called StubHub in the U.S. and as we talked last quarter the take rate on StubHub comes from recent changes that we made are lower. And therefore that is a gap between volume and revenue in the U.S. The second thing is we got a wonderful daily deals business where it’s bigger here in the U.S. We continue to get great traction and that daily deals format is a slightly lower monetization so those two dynamics from a volume to a revenue standpoint are a bit different here in the U.S. It has that gap a little bit wider. I think the second question was may have already answered it, but U.S. GMV we said our GMV in particular we said was kind of stable in the first part of the quarter and it dropped to 7% in the month of June and we have seen some recovery into July and although as usual all those impacts in trends are the kind of things that we incorporate into our guidance to give you the best kind of best snapshot that we have.
John Donahoe: Brand campaign maybe I will just comment as you mentioned Mark, PayPal is running its first ever global brand campaign powering the people economy. It’s been going into four markets thus far, very hard to read early on but the early qualitative data we have gotten back is strong. And we will continue that in the second half. It’s one of the things we talked about one of the areas we are investing in PayPal this year is really for the first time ever beginning to do some marketing, so. Thanks.
Mark May - Citi: Thank you.
Operator: Our next question comes from the line of Justin Post with Merrill Lynch. Your line is open.
Justin Post - Merrill Lynch: Thank you. We saw that merchant services growth accelerating, can you tell us about some client wins or initiatives to help that accelerate and do you think that that’s the sign of maybe the overall broader markets and you are getting a little bit better off of maybe a soft 1Q? Thank you.
Bob Swan: We’ll tag team, John. First, Justin, I think what you have seen for the last five or so quarters, I think whether it’s 26 to 29 to 30 or 1 to 2 to 3 that is indicative of really what we have said are three things, more ubiquity. So, PayPal being accepted increasingly on merchant sites and I wouldn’t necessarily point to a particular name, brand or retailer, I would just say that we continue the march to have PayPal offered on all merchant sites large, medium and small domestically and around the globe and that’s the core kind of playbook on the merchant side of the equation. On the other side of the equation, it just increasingly give consumers the chance or the opportunity to select PayPal when we are offered and getting better and more consistent cleaner placement. So, those two dynamics are the core fundamentals of merchant ubiquity consumer use. The other one I won’t belabor, but John talked about Braintree and expanding our network into the shared economy, where mobile is really the key leadership vector and that’s one that’s been an important source of growth to us in a real important leadership position as well.
John Donahoe: One of the interesting things and it goes back to one of the earlier questions that as this omni-channel world has played its way out thus far, what’s tended to happen is less that people are buying in the different way when the physical stores more that they are actually buying more on the web or on their mobile phones even if it’s on the retailers’ website. And so that’s bull’s eye into PayPal’s core products. And so it’s our core products that are in the right place at the right time and in particular mobile payments just continues to be really strong in the fact that PayPal when you pay in a mobile phone, you don’t have to enter in your credit card information, it’s one click payments, it stays, so your financial information never flows through the cellular network or into your phone. And I think consumers are really responding by high conversion rates on mobile. So, PayPal web, PayPal mobile is driving that strong performance and will continue to – I think we see good momentum and we expect that to continue.
Justin Post - Merrill Lynch: Thank you.
Bob Swan: Feature functionality like credit growth expanding our served market geographically we announced 10 whether or not obviously needle movers in the quarter, but 10 new markets in PayPal during the course of the quarter and then P-to-P payments part of Braintree and Venmo and PayPal’s P-to-P payments on mobile devices are feature functionality that drive adoption in the ecosystem.
Justin Post - Merrill Lynch: Great, thank you.
John Donahoe: Thank you.
Operator: Our next question comes from the line of Brian Pitz with Jefferies. Your line is open.
Brian Pitz - Jefferies: Great, thanks for the questions. Can you give us more color on your new partnership with Sotheby’s and how you believe it may impact your auctions business? And separately, any update on PayPal Beacon, what has been the level of interest from merchants thus far? Thanks.
John Donahoe: Yes, Brian. We announced earlier this week our partnership with Sotheby’s, which we are very excited about, because in many ways it brings – it’s a great example of two parties bringing their core capabilities together to create I think even better experiences for both buyers and sellers. Obviously, Sotheby’s is one of if not the best in the world at in person auctions. They have a seller base if you will what we would call sellers, but a provider base that provides outstanding inventory, unique inventory and inventory that often begs for a global market. And what we can bring obviously is a strong technology platform that can help enable that Sotheby’s inventory to get access to global buyers in a safe and effective and convenient way. So, we are excited about it. And we think it’s a nice way to blend our core competences, Bob talked about technology and data with someone else’s assets in this case through inventory. And then second question was Beacon, Beacon fits right in that test and learn bucket I talked about earlier, which is how do we find a couple of examples of small places, where we are putting Beacon in, where we are working with the merchant, with consumers to see if we can provide a great experience that consumers like and the merchants able to follow through on. And there has been a lot of interest in it. And but it’s still on the test and learn, test and learn stage. I think what’s happening in the physical store point of sale world is there is a lot of interest in these things, but executing them and pulling them off is a lot of hard work. And we have recognized that, I think retailers recognized that, so we are working in a few targeted areas to work it out iterate, learn, iterate learn. And I have no doubt over the next several years we are going to find product market solutions here that will be quite scalable.
Brian Pitz - Jefferies: Great. Thanks.
John Donahoe: Thanks Brian.
Operator: Our next question comes from the line of Eric Sheridan with UBS. Your line is open.
Eric Sheridan - UBS: Thanks for taking the question. John on the PayPal search wondering if we can get an update on what you sort of might be looking for new head of PayPal, any sense you can give us around timing of naming someone to that post and are you thinking about going after that search. And then second, maybe more for Bob as you dialed up the marketing on the Marketplace aside to sort – get sort of a normalized state for the Marketplaces business, is there anything you are learning from an ROI basis about deploying more capital to from a growth that you might want to continue as Marketplaces gets back to a more normalized rate which could actually lead to Marketplaces growing faster but maybe a slightly lower margin going forward as we exit ’14 and go into ’15? Thanks.
John Donahoe: Eric on the PayPal’s search using almost virtually the same approach I did last time in that in the first month all of the focus is on execution not on the search. And I must say that PayPal leadership team is stepping up wonderfully very similar to what they did 2.5, 3 years ago. And execution I think has gotten even better. So the good news is that the strong team that’s got a great diversity of skills on it and it’s a team that had a lot of confidence on. And then with respect to the search over the next couple of months I will work with them and others to identify what are the characteristics that we think are – should embodied in the next leader of PayPal. And I will make a selection and we will let you know when I do that. There is one thing I will say is that you need a portfolio of skills to run a highly innovative business of scale and the good news is regardless that we take is the President of that team has a strong portfolio of skills within him. So I think it gives us a nice degrees of freedom.
Bob Swan: And (indiscernible) tall buildings and single bounds I think is one of the criteria. Eric on your second question marketing ROI to drive growth, this maybe a generic and a couple of specifics, I think generically last year and coming into this year one of our learnings on the analytical ROI equation is we have probably been two types in managing the ROI and as a result while our margins last year were at the high of our kind of historical range, we came into this year saying that we are going to be investing more in the marketing as a percentage of total to drive more demand. That was kind of one of those generic learnings from last year to this year. So pre-password reset and SEO we were in fact stepping up our level of spend. In terms of how we drive traffic more specifically, obviously we got a great brand, so the majority of our traffic continues to come direct because of the eBay brand. And then on keyword buy being less generic about where it makes sense and more specific and particular geographies is one of the test and learn things we do take of a generic spend to be more specific. And then third is CRM, all of this data that we accumulate on this site we are going to be increasingly smarter and sharper about how do we use that data to reach back out directly with CRM and email campaigns to bring that traffic back to the site. And then fourth one I would just say is we continue to in the test and learn bucket that John highlighted is social, how do we divert or reallocate some of our money to more social channels to drive engagement and curation.
Tom Hudson: Can we take one more question?
John Donahoe: Yes.
Operator: Our final question comes from the line of Gil Luria with Wedbush Securities. Your line is open.
Gil Luria - Wedbush Securities: Thanks for taking my question. You talked about the fact that SEO and the breach are fairly fleeting phenomena, you expect them to kind of ramp out in Q3, how about StubHub, the topic you talked more about in Q1, how much of the decline in growth rates in marketplace is attributable to those changes in that market and the changes in your pricing? And have you bought them down yet there or are you still competing very hard and harder as the year goes along?
John Donahoe: Maybe Bob, I will take the second part of that and you take the first. The StubHub, so the thing we did at StubHub earlier in the year was we went to all-in pricing. For the last several years, one of the things we have heard about from buyers in the secondary ticket market is they hate the fees and the fees would come at checkout. And it felt like a surprise. And so after we have been testing the last couple of years in StubHub, it’s a very much a consumer driven business. Right, we have great buyer experience, we back it up, make it right. And so we made a decision to go to all-in pricing. So, we showed buyers what the true cost is going to be all the way through. At the same time, there was a competitor too that came in with slightly lower take rates and they didn’t have all-in pricing. So, the perception out of the gate was that StubHub tickets and StubHub cost more when in reality other than a couple of percentage point take rate difference that wasn’t the case. So, what we have done is we have said you know what we have got a leadership position here, a leadership franchise. We are going to make sure we compete aggressively. And so it is an outstanding take rate business. We have lowered our take rate. It’s still a very good take rate business. And we are competing. And we feel comfortable and good about how we are competing in the effectiveness. We think we have – we are going to be – our leadership position is strong, we think we will continue it, but for the next couple of quarters when we are lapping, they will be lower revenue growth and lower margin growth, but we are building a leadership position that’s going to sustain for many years to come in what is a fundamentally good business and a business that we believe will grow over time and have very good economics over time.
Bob Swan: Just two other things I would add is it’s a business where the majority of the traffic is now coming from mobile even more so than other platforms. And the team has been investing and when that traffic comes, the right landing page for the mobile user has been a big component. And then the growth rate from Q1 John talked about kind of the take rate and the competitiveness, I think what we saw Q1 to Q2 is a rebound in the growth rate and our expectations are in light of the things that we have done that, that growth rate, volume growth rate will continue, but we will have a take rate degradation year-on-year for another two more quarters.
Gil Luria - Wedbush Securities: Got it.
Bob Swan: Great, thanks a lot. Thanks everybody.
Gil Luria - Wedbush Securities: Thank you, John.
John Donahoe: Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a good day.